Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to the Ellington Residential Mortgage REIT 2022 First Quarter Financial Results Conference Call. Today's call is being recorded. At this time, all participants have been placed on a listen-only mode and the floor will be open for your questions following the presentation. . It is now my pleasure to turn the floor over to Jason Frank, Deputy General Counsel and Secretary. Sir, you may begin.
Jason Frank: Thank you, and welcome to Ellington Residential's First Quarter 2022 Earnings Conference Call. Before we begin, I would like to remind everyone that certain statements made during this conference call may constitute forward-looking statements within the meaning of the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not historical in nature. As described under Item 1A of our annual report on Form 10-K, forward-looking statements are subject to a variety of risks and uncertainties that could cause the company's actual results to differ from its beliefs, expectations, estimates and projections. Consequently, you should not rely on these forward-looking statements as predictions of future events. Statements made during this conference call are made as of the date of this call, and the company undertakes no obligation to update or revise any forward-looking statements, whether as a result of new information, future events or otherwise. Joining me on the call today are Larry Penn, Chief Executive Officer of Ellington Residential; Mark Tecotzky, our Co-Chief Investment Officer; and Chris Smernoff, our Chief Financial Officer. As described in our earnings press release, our first quarter earnings conference call presentation is available on our website, earnreit.com. Our comments this morning will track the presentation. Please note that any references to figures in this presentation are qualified in their entirety by the end notes at the back of the presentation. With that, I will now turn the call over to Larry.
Larry Penn: Thanks, Jay, and good morning, everyone. We appreciate your time and interest in Ellington Residential. To begin, please turn to Slide 3. The challenging operating environment of late last year intensified during the first quarter of 2022, as it became increasingly evident that the hiking cycle and quantitative tightening will be faster and more severe than previously expected as the Federal Reserve combats surging inflation. During the first quarter, the Fed made the first of what are expected to be many interest rate hikes, concluded its final month of net purchases of Agency MBS and signaled that balance sheet runoff would likely commence soon. Geopolitical instability and recessionary concerns further contributed to a risk-off sentiment in the market and yield spreads in virtually every fixed income sector including Agency RMBS. And yield spreads in virtually every fixed income sector including Agency RMBS widened relative to U.S. treasury securities and interest rate swaps. Here on Slide 3, you can see the meteoric rise of the intermediate term interest rates in particular. The two-year note yield rose a remarkable 160 basis points during the first quarter. And as of March 31 was up a full two percentage points since September 30 and was an equal yield with the benchmark 10-year note. The 160 basis point move for the two-year was its largest quarterly increase since 1984. Mortgage rates have similarly soared. The 30-year fixed survey rate has risen by more than two percentage points since November and today sits at 5.1%, which is the highest it's been in more than a decade. This sharp increase has suddenly eliminated the refinancing incentive for most borrowers and so prepayment speeds are plummeting. The full ramifications of the new mortgage regime are just starting to play out, whether in terms of deteriorating housing affordability, the impact on the mortgage industry and other housing sensitive industries, or the longer-term impact on the economy in general. The bond markets were extremely volatile in the first quarter and continue to be. The MOVE Index, which measures short-term volatility of interest rates as implied by the treasury options market, reached its highest level since the 2020 COVID liquidity crisis. Against this backdrop of surging interest rates and heightened volatility, Agency RMBS experienced both significant duration extension and significant yield spread widening, which in combination caused extremely sharp price declines. You can see on Slide 3 that the price of Fannie Mae 2.5s, which at year-end were a production coupon, but are now way off the run, finished the quarter at a $95.4 price, down 6.7 points for the quarter. You can also see towards the bottom of this slide, the significant yield spread widening in Agency MBS, particularly in higher coupons, whether measured on an option-adjusted basis or on a nominal basis. For the first quarter, EARN generated a net loss of $1.33 per share on a fully mark-to-market basis, as you can see on Slide 4. And while our net loss and therefore, our book value decline was significant we aggressively rebalanced the duration of our hedges throughout the quarter so as to prevent even deeper book value declines. Our delta hedging costs associated with all this rebalancing were high. But again, they were absolutely essential in preventing even deeper book value declines. Finally, our meaningful short TBA position also helped offset some of the impact of the duration extension and yield spread widening during the first quarter. When interest rates spike, TBA short positions tend to extend more than specified pool assets. And this dynamically and automatically hedges a correspondingly larger portion of our specified pool portfolio. We expect to continue to rely on TBA shorts to reduce the overall volatility of our earnings and book value. In his remarks, Mark will elaborate further on how we navigated the first quarter's volatility and how we are positioned going forward. But first, I'll pass it over to Chris to review our financial results for the first quarter in more detail. Chris?
Chris Smernoff: Thank you, Larry, and good morning, everyone. Please turn to Slide 5, where you can see a summary of EARN's first quarter financial results. For the quarter ended March 31, 2022, we reported a net loss of $17.5 million or $1.33 per share and core earnings of $3.9 million or $0.30 per share. These results compared to a net loss of $2.8 million or $0.21 per share and core earnings of $3.7 million or $0.28 per share in the fourth quarter. Core earnings excludes the catch-up premium amortization adjustment, which was a negative $488,000 in the first quarter as compared to a positive $169,000 in the prior quarter. During the first quarter, as Larry noted, Agency RMBS significantly underperformed U.S. Treasury Securities and interest rate swaps. For EARN, net losses on the Agency RMBS exceeded net interest income and net gains on our interest rate hedges, non-Agency RMBS and interest-only securities, which resulted in a significant net loss for the quarter on a mark-to-market basis. Core earnings increased sequentially by $0.02 per share to $0.30, which was in line with our dividend for the quarter. This increase was driven by higher average holdings in the first quarter. Our net interest margin did decrease marginally quarter-over-quarter to 1.76% from 1.81% as higher cost of funds more than offset higher asset yields. Since our specified pools are relatively seasoned overall, they offer both prepayment protection and extension protection relative to their TBA counterparts, which now include newer issue, more prepayment-sensitive pools. While the surge in mortgage rates during the quarter caused the value of prepayment protection to fall substantially, it also enhanced the value of extension protection. After taking into account these partially offsetting factors, payouts for our existing specified pool portfolio declined over the course of the quarter. However, we net sold pools during the quarter, and these net sales generated -- generally consisted of pools with much lower payouts. Overall, average payouts for our specified pool portfolio declined only slightly quarter-over-quarter to 0.94% as of March 31 as compared to 1.07% as of December 31. Please turn next to our balance sheet on Slide 6. Book value per share was $10.14 at March 31 as compared to $11.76 at December 31. Including the $0.30 of first quarter dividends, our economic return was negative 11.2% for the quarter. We finished the quarter with cash, cash equivalents and other liquidity of $29.9 million in addition to other unencumbered assets of $11.3 million. Other liquidity represented $13.7 million of unencumbered U.S. treasury securities. Next, please turn to Slide 7 for a summary of our portfolio holdings. Our Agency RMBS holdings, measured on a trade-date basis per GAAP, decreased by 70% to $1.068 billion as of March 31 as compared to $1.289 billion as of December 31. The decrease was driven by a combination of net sales, paydowns, and mark-to-market losses. However, measured on a settlement date basis, our Agency RMBS holdings increased sequentially by 13% to $1.169 billion from $1.034 billion. Over the same period, our interest rate -- sorry, our interest-only holdings increased to $17.9 million from $13.1 million, while our non-Agency holdings decreased slightly to $8.7 million from $9.1 million. We traded very actively during the first quarter with Agency RMBS portfolio turnover of 77%. On Slide 8, you can see the details of our interest rate hedging portfolio. During the quarter, we continued to hedge interest rate risk through the use of interest rate swaps and short positions in TBAs, U.S. Treasury securities, and Futures. We ended the quarter with a net short TBA position both on a notional basis and as measured by 10-year equivalents. Slide 9 illustrates our net mortgage assets to equity ratio, which is measured on a trade-date basis. This ratio decreased to 6.9x from 7.1x during the quarter and was due to lower Agency RMBS holdings, particularly offset by a smaller net short TBA position on a fair value basis and lower shareholders' equity. Our debt-to-equity ratio, adjusted for unsettled purchases and sales increased to 8.3x as of March 31 as compared to 6.9x as of December 31. This increase in our debt-to-equity ratio was primarily due to the increase in borrowings on our Agency RMBS portfolio, where we had larger settled holdings at quarter end, along with lower shareholders' equity. I will now turn the presentation over to Mark.
Mark Tecotzky: Thanks, Chris. The rate and spread volatility in the first quarter was absolutely historic. The yield on the two-year treasury jumped a 160 basis points Fannie 2s dropped seven points and Fannie 4s dropped over five points. In terms of volatile quarters for the bond market, this one is going to stand out for a very long time. The massive change in the Fed's messaging led to a huge repricing of yield spreads across all our fixed income. When the dust settles, and it has not all settled yet, the opportunity set after these historic moves should make for a phenomenal backdrop for an agency mortgage REIT. What you have now is Agency MBS, an asset with good liquidity and no credit risk, priced at very wide spreads and with most of the market no longer exposed to the risk of fast prepayments. So you can see a clear path to low teens levered returns on pools and TBA, where you more or less know what you're getting on prepayments, which should now be limited to cash out refis and turnover. This is a completely different opportunity set than what we had in the second half of 2020 and all of 2021. Those were periods where current coupon rolls were strong because of the Fed buying and spread volatility was manageable because of the Fed's backdrop. But once you ventured into coupons that the Fed wasn't buying, you either had premium TBA-like pools, paying blazing fast because of the efficiency of the nonbank mortgage companies or you had specified pools that nose bleed pay-ups. You can make returns, but a lot of it was really drafting off the Fed. Now we have a market that has a much richer opportunity set and much wider spreads. You don't have to take prepayment risk if you don't want to. At the end of the quarter, our 30-year portfolio range in price from $88 to $103. We also have had lots of seasoned cohorts. So we expect returns are both much higher and much better quality today than they were before. But -- and there's always a but -- this repricing was driven by the abrupt exit of the Fed, which also means we should expect more volatility, both volatility in spreads and volatility in rates, meaning more mark-to-market volatility. But for much of the market that's below $98 price, there's not substantial cash flow uncertainty. To get to the low price points today, we first had to endure the price declines and manage through the enormous rate moves and the resulting delta hedging costs, which have been substantial. For EARN, our economic return was negative 11%. Much of that loss was from the massive underperformance of Agency MBS versus treasuries and swaps, but not all of it. There were delta hedging costs, there were wide pay-ups spreads, and there was yield curve repositioning. Nobody has a crystal ball on rate, but it's unlikely that the volatility of the first quarter is repeated because it was an adjustment to a 180-degree turn by the Fed. The Fed rarely revises their economic outlook so radically. So now you have wide mortgage spreads, predictable speeds, and discounts. And with discounts, you have room to run up in price before you have to worry about prepayment risk and substantial negative convexity, should the market start pricing in recession fears. Spreads are wide. But unlike 2020, we have not seen funding pressures even though liquidity is way down. As a result, the cost of repositioning the portfolio is higher than normal, but the financing side of the equation is stable. As a manager, you have to be patient in access liquidity as it presents itself. So how did our portfolio adjust during the quarter? You can see on Slide 7 that we shrunk our portfolio. That is the prudent thing to do in volatile markets when you experience book value decline. That's what you need to do to keep leverage relatively constant. It's not a comment on the going-forward opportunity. It's just conservative portfolio management in the face of high volatility and heightened uncertainty. The volatility has subsided in the last two weeks, but April was still a very volatile month and our preliminary estimates show that our book value as for April 30 was $9.40 to $9.60 range. You can also see on Slide 8 that we increased the 10-year equivalents of our hedges and that's despite having a smaller portfolio. We did this because the duration of both spec pools and our TBAs increased during the quarter as higher rates implied slower prepayment speeds and consequently longer duration. On Slide 9, you can see that we essentially shrunk our mortgage exposure portfolio pro rata with the size of our portfolio. So our net mortgage exposure only declined slightly from 7.1 to 6.9. This is not a commentary on mortgage value. It's more a commentary on market volatility. Mortgages are much cheaper now than they have been in years, and a lot of bad news is already baked into their pricing. Euro-dollar futures already implied that three month LIBOR will reach 3.6% by June 2023. Fannie 2s, which were current coupon for much of last year and at an average price during 2021 of almost 101, are now trading with an 87 handle. And Fannie 4s, which averaged a price of about 107 in 2021 and whose prepayment-protected pools used to trade at multiple point pay-ups now trade at 99.25. The market is assuming a very fast taper and correspondingly, a lot of net supply for private capital to digest. Things can obviously move more and spreads can continue to widen, but a lot of the mortgage market is now fully extended. We don't plan to increase leverage materially from here until we see signs of interest rate and spread stability. NIMs are very wide right now, and they are what we consider high-quality NIMs that don't require big premium dollar prices or big spec pool pay-ups. But we respect the fact that we are in uncharted waters with elevated inflation and balance sheet runoff around the corner. So I think we're going to wait for more stability before increasing leverage from here. Discount coupons performed much better than higher coupons during the first quarter. So that positioning helped us. And meanwhile, the underperformance of higher coupons created a great entry point. We can see on Slide 14 that we have gone up in coupon in our holdings. The weighted average coupon of our 30-year pools increased by 19 basis points sequentially during the first quarter, and we have done more of that since quarter end. How will our process deliver strong returns going forward? Given how wide spreads are now, we don't need more leverage to generate a high dividend. We rely on prepayment models, we monitor our duration and yield curve exposure closely, and we hedge across the curve. All that's important as we want to capture and lever the wide spreads we see. And with the Fed stepping away, we believe that more dislocations could emerge, which would provide relative value opportunities to exploit for those who have maintained excess liquidity. As the Fed shrinks, MBS have wide yield spreads, but they're also hedgeable. So it's a real opportunity to get double-digit returns without taking credit risk and now with a lot less prepayment or volatility risk, because convexity of the mortgage market is much better. We have a range of coupons to buy, and we don't have to be so role dependent. In the short run, there is mark-to-market volatility. But in the long run, you can buy government-guaranteed assets at widespread through a discount to par and have a lot of extension risk already priced in. But we will be patient with adding leverage as the Fed hasn't even stopped buying yet, and more technical headwinds are set to come as they start to reduce the size of their balance sheet. In addition, we can manage our portfolio with a diversified mix of discounts and premiums so we don't have a disproportionate focus on call risk as in years past. And most importantly, we don't have to compete with an enormous pool of capital, the Fed that isn't seeking returns. Yields are much higher and spreads are much wider, so private capital can demand and should get a portfolio with substantially higher levered return. I think Agency MBS can perform well from here, regardless of the direction of rates. If we see a weak economy that leads to a dip in interest rates that can still be a scenario for strong returns as we may get faster prepayments from cash-out refis than what we are assuming. Whereas for credit-sensitive bond portfolios, a recessionary scenario would likely be a challenge and higher rates and lower supply can reduce the supply base in Agency MBS improving the fundamental picture. Now back to Larry.
Larry Penn: Thanks, Mark. Despite the Fed's initial intentions for a smooth and well telegraphed tightening cycle, surging inflation has forced our hand to move faster and at times, the market's reaction has been reminiscent of the taper tantrum in 2013. The reduced Fed support was obviously a headwind for Agency RMBS in recent months, and the extreme interest rate volatility has widened yield spreads and made it a lot more expensive to hedge. In April, interest rates continued to increase, yield spreads widen further and volatility remained elevated. As Mark mentioned, our preliminary estimate is that our book value at April 30 was in the $9.40 to $9.60 range. In light of our recent book value declines, last night, we adjusted our annualized dividend back to the way it had been sized previously, namely to an approximately 10% yield on book value per share. We believe that this adjustment was prudent in light of recent circumstances, but we are also optimistic that we can start rebuilding that dividend given that much richer opportunity set that Mark spoke about. As we've seen in the past, big pricing dislocations tend to be the source of opportunity. With significantly wider yield spreads and lower pay-ups, agency-specified pools are more attractive than they've been in a long time. Repo financing terms continue to be very favorable. And putting it all together, higher reinvestment yields are outpacing rising borrowing costs. So core earnings in the coming quarters is actually looking very strong. And from a price performance perspective, which has been by far the biggest component of recent underperformance, new Agency RMBS supply is declining significantly, given the much higher mortgage rates. And this should help mitigate the negative effects of Fed balance sheet reduction. In fact, back in 2013, this is exactly what happened after severely underperforming during the taper tantrum, Agency MBS actually rallied significantly during the second half of that year. With that, we'll now open the call to questions. Operator, please go ahead.
Operator: . And we'll take our first question from Crispin Love from Piper Sandler. Your line is open.
Crispin Love: Thanks and good morning. So first off, thank you for the book value update here. But just based on the recent volatility and your outlook, do you believe that we've started to see some stabilization in mortgages in April? And then just also what are your expectations for near-term volatility continuing and then coupled with the investment opportunities you're seeing?
Mark Tecotzky: Hey Crispin, it's Mark. So I would say that the second half of April, there was more spread stability than there was in the first half. So while the entire month was a volatile month, you certainly saw some stability in the second -- second part of April.
Crispin Love: Great, thanks Mark. And then one on the dividend, and I know it's a Board decision here, but -- and Larry, I know you had some comments on it. But just thinking about the dividend, would you view that the new $0.08 monthly run rate just a resetting of the dividend here on recent book value? And then just also, how are you thinking about the dividend relative to core earnings going forward? Because recent commentary and then commentary you just had seems that the $0.30 run rate in core isn't in question, but perhaps with a slightly lower portfolio that we saw, you might fall a little bit below there? So just kind of thoughts on the dividend and also compared to core earnings.
Larry Penn: Sure. Thanks, Crispin. Yes, so as I said, we resized the dividend basically to a 10% yield on our new book value per share. As I mentioned, core is outstripping that and in fact is expected to expand further in the coming quarters. So -- but because of the particular tax situation that we're in, we're not required, if you will, to distribute all of our core in our dividend. So even with core exceeding the dividend as we project, for the next few quarters, we would not be required to do that. And we just thought, as I said, given the circumstances, we thought it was prudent to resize that to the 10% yield where it had been probably the last time that we resized, frankly.
Crispin Love: Okay. Great and then just so I'm clear, so are you saying that you think over the next few quarters, core should be at least $0.30?
Larry Penn: Yes.
Operator: Our next question comes from Doug Harter from Credit Suisse. Your line is open. Doug, your line is open.
Doug Harter: Can you hear me now?
Larry Penn: Yes. Sorry, Doug. Thanks.
Doug Harter: You mentioned that the latter part of the month, you started to see volatility slowdown. I guess as you think about kind of the risk, how do you kind of size the risk to future spread widening versus kind of the potential for spread tightening kind of in the market now?
Mark Tecotzky: Yes, so that's a good question, Doug. So one thing is we kind of contextualize mortgage spreads versus other competing fixed income spread products. So investment-grade corporates, high-yield bonds. Those sectors have widened a lot, too. So while we see very clearly wide spreads on Agency MBS versus the hedging instruments. And that is -- we use the term high-quality NIM. So it's a NIM where you don't have a lot of prepayment uncertainty to it, and it's a NIM where we think rates up, rates down, the NIM will hold up. It won't degrade a lot, and it won't require a lot of delta hedging. So we see very wide net interest margins on Agency MBS, but we also see competing products have also underperformed materially this year. So what happened with competing products doesn't really change the fact that we can capture a high net interest margin now. But I think what happens with competing products does have something to say about entry point and price volatility. So we want to see -- and you're starting to see it a little bit now, stability in rates, stability in mortgage spreads, but also stability say in investment-grade spreads for other asset classes. And you have a lot of bad news got priced into the market in Q1, it led to the book value decline, but the book value decline has created a much better opportunity set than we've had in the last few years. But there's still a few hurdles left for the market, right? The Fed's got a meeting this week. Expectation is for a 50 basis point hike, expectations they announced the tapering. So I think we also want to see a little bit how the market absorbs with daily mortgage supply without the Fed being a buyer, right? They're buying a lot less now than they did last year, but they're still buying, right? So it's a little bit of an adjustment. So I think that the net interest margin right now is very wide, but we want to be thoughtful about entry points. And that -- and thoughtful about entry points has something to do with other asset classes and sort of overall market tone.
Operator: Our next question comes from Eric Hagen from BTIG.
Eric Hagen: Hi, thanks. Good morning. How would you say a long-short MBS portfolio is in a better position to outperform a portfolio hedged exclusively with interest rates? Like when the Fed is about to start tightening more aggressively, what are investors getting by being long short versus some other approach, levered approach?
Mark Tecotzky: You're saying a long short MBS portfolio versus, say, like high-yield portfolio or investment grade bond portfolio?
Eric Hagen: No an MBS portfolio?
Mark Tecotzky: Long short MBS portfolio versus just long MBS portfolio.
Eric Hagen: Right. The second thing you said, a long MBS portfolio hedged with swaps and treasuries?
Mark Tecotzky: Right. So I think what you get is less volatility sensitivity. So a lot of the mortgage market now, say, kind of Fannie 3.5s and lower are sort of fully extended and the prepayment speeds versus -- if you believe the forward curve gets played out, the prepayment speeds are going to be largely determined by turnover and cash-out refis, right? And when you get above that, then you start getting into things that can get in the money and have refinanced -- have increase in prepayments if mortgage rates drop, right? So I think that you have -- and it depends what coupons you long, but coupons are short. But one thing and you saw it in the first quarter is that being short some mortgages reduced how much increase in volatility hurts you. Now I think that given how much TBAs and spec pools underperformed. It's a weaker case now than it was at the start of the quarter for sure.
Eric Hagen: Okay. That's helpful color. Thanks. How does home price appreciation --
Mark Tecotzky: Hey, I just want to add one other thing is that to the extent you have a research effort and modeling efforts that can do a good job of identifying discount pools that are going to have elevated prepayments. So you kind of predict levels of cash out activity and levels of turnover. Then long short in some of these coupons can add a fair bit of excess return. There's parts of the mortgage market now that are 13 points below par. So getting -- so pick in the pools with faster prepayment speeds -- if you can pick pools up faster prepayment speeds and buy those versus TBA and if TBA is priced at the same prepayment speeds, that adds a lot of excess return.
Eric Hagen: Yes, that's helpful. I think that actually leads into maybe my next question, which is how does home price appreciation and inflation factor into the outlook for prepays? I mean, do you feel like there's the potential for faster speeds to develop and the lower coupons simply as a matter of faster turnover and cash out refi demand against the current backdrop?
Mark Tecotzky: Yes, it's a great question and something we have been doing a lot of data analysis on, right? So what you have now is a whole bunch of borrowers with 3.5%, 3.25% 3% mortgage rates. So they're anywhere between 150 to 200 basis points below the current mortgage rate. But they're also sitting on a mountain of home equity, right? So what we've seen in the past is that how likely you are to do a cash out is a function of how much cash you can actually take out, i.e., how much equity do you have in your property, but also what's the rate differential between your mortgage rate and the current mortgage rate. So the strong HPA, we think is supportive of cash-out activity. And it's interesting because while there's a borrower component to it, there's also an originator and a servicer component to it. And some of the non-banks have been very aggressive in making borrowers aware about cash out refi opportunities. So strong HPA is definitely something that we think is supportive of higher turnover speeds. You're just now -- it's really only been -- you maybe have two months of data to really look and see what's going on. But because there's the amount of equity you have in your home, there's a little bit of a geographic component, right? So you've had on aggregate 20% HPA, but it hasn't been -- it's not like every area went up 20%. So there's certainly some high flyer areas. So there's that's support of a turnover speed. And it's also something that -- it's hard for models to capture, right? You're at a moment now where the amount of HPA borrowers have is a lot higher than what they've historically had in the data set. So you can't -- it's hard to go back and sort of regress and data mine and find other moments in the historical mortgage prepayment record that look a lot like this moment. So you really need to be watching like a hawk each and every prepayment report, and then really slice and dice the data into as many different dimensions as you think are relevant. So it's also interesting, too, if someone did a cash out last year, are they more or less likely to do a cash out versus someone did a purchase last year, right? So there's a whole bunch of stuff, which is sort of fertile ground for research. And I think if you get it right, there's a lot of excess return that is built into the price of some of these discounted MBS that isn't all -- isn't 100% captured to the model, and you're dealing with a market that has caused so much red ink out there that it's not fully priced in it. It's not a kind of market where people are sort of listening to stories and really feel like they have to reach for incremental return. So you can focus on this stuff. And I think it adds a lot of excess return, and it will eventually get priced in. But I think now you can almost sort of pick it up almost for free.
Larry Penn: Yes, if I can add. Yes, it's really fascinating place where we are right now in the mortgage market, where there are so many securities now. Mark mentioned that I think it was Fannie 2 is trading with an 87 handle, where the difference in value, a, at current rates, if they prepay, say, at 6 CPR versus 10 CPR is massive. And in terms of how they'll respond in an upgrade environment, again, 6 CPR versus 10 CPR, a lot more modest price drop if the market sees consistent speeds of 10 CPR instead of 6 CPR. So the value of a lot of the mortgage market right now is going to be, I think, highly dependent. But as Mark said, really probably mostly just on the upside. I think the market is pricing in a pretty slow speeds, but there's tremendous upside if speeds end up being faster, which, as Eric, you implied, could be very dependent on home price appreciation, the economy mobility all sorts of things. So it's fascinating, and it will unfold over the coming months and quarters. But of course, the longer-term trend is going to be really important, too, because you're talking about -- these are very long mortgages right now.
Operator: Our next question comes from Mikhail Goberman from JMP Securities.
Mikhail Goberman: Hi, Good morning gentlemen. Most of my questions have already been touched on, if I may just ask you, what kind of opportunities are you seeing in the reverse mortgage market? Seems to be a space that is attracting more interest these days?
Larry Penn: I'll just say, Mikhail, that there was widening and sympathy in that market. And so just the -- not surprisingly, it looks like a good entry point there. It's not a big focus, as you can tell, looking at our portfolio of the company. We're focusing on the more liquid sectors, but just -- we do think that it's an excellent entry point right now for Hacken Pools as an investor they have widened.
Chris Smernoff: We -- the portfolio is roughly flat too, last quarter versus this quarter.
Larry Penn: In terms of size.
Chris Smernoff: Yes.
Operator: That was our final question for today. We thank you for participating in the Ellington Residential Mortgage REIT 2022 first quarter financial results conference call. You may disconnect your line at this time, and have a wonderful day.